Operator: Ladies and gentlemen, thank you for standing by for Cigna's First Quarter 2012 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the Q&A session, is being recorded. We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, Mr. Detrick.
Edwin J. Detrick: Good morning, everyone, and thank you for joining today's call. I'm Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and Chief Executive Officer; and Ralph Nicoletti, Cigna's Chief Financial Officer. In our remarks today, David will begin by commenting on Cigna's first quarter results. He will then review our approach to delivering value for our customers and clients. He will also discuss our key earnings drivers and why we believe Cigna is well positioned to deliver attractive top line and bottom line growth over the long term. Next, Ralph will reviewed the financial results for the first quarter and provide an update on Cigna's financial outlook for full year 2012. We will then open the lines for your questions. And following our question-and-answer session, David will provide some brief closing remarks before we end the call. Now, as noted in our earnings release, Cigna uses certain financial measures, which are not determined in accordance with generally accepted accounting principles, or GAAP, when describing its financial results. Specifically, we use the term labeled adjusted income from operations as the principal measure of performance for Cigna and our operating segments. And the reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com. As is customary, our quarterly financial supplement is also available through cigna.com. In addition, as we begin the year, we have made information available on our website to facilitate your understanding of our full year 2012 outlook, as well as our longer-term growth goals and opportunities. Now with our remarks today, we will be making some forward-looking statements. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations and those risk factors are discussed in today's earnings release. Now before turning the call over to David, I will cover a few items pertaining to our first quarter results and disclosures. Regarding our results, I note in the first quarter, we recorded 2 charges to shareholders' net income, which we reported as special items. The first special item was an after-tax charge of $28 million or $0.10 per share for transaction costs related to the HealthSpring acquisition. The second special item was an after-tax charge of $13 million or $0.04 per share for costs associated with the litigation matter. I would remind you that special items are excluded from adjusted income from operations in today's discussion of our first quarter 2012 results as well as the full year 2012 outlook. Relative to our Run-off Reinsurance operations, our first quarter shareholders' net income included an after-tax noncash gain of approximately $41 million or $0.14 per share related to the Guaranteed Minimum Income Benefits business, otherwise known as the GMIB. I would remind you that the impact of the accounting fair value disclosure and measuring guidance on our GMIB results is for GAAP accounting purposes only. We believe that the application of this guidance is not reflective of the underlying economics as it does not represent management's expectation of the ultimate liability payout. Because of application of this accounting guidance, Cigna's future results for the GMIB business will be volatile as any future change in the exit value of GMIB's assets and liabilities will be recorded in shareholders' net income. Cigna's 2012 earnings outlook, which we will discuss in a few moments, excludes the effects of the GMIB business and therefore any potential volatility related to the perspective application of this accounting guidance. And also, as we've previously disclosed, effective January 1 of this year, Cigna has adopted new accounting guidance regarding the accounting for the deferral of certain costs related to the acquisition of new or renewable insurance contracts. This accounting change restricts the amount of costs that can be capitalized and accelerates the recognition of certain acquisition costs that previously would have been deferred. Cigna adopted this accounting change on a retrospective basis, in the first quarter of 2012, recasting prior periods and recording a onetime noncash charge of $289 million directly to shareholders' equity effective January 1, 2011. Prior period results have been recast to reflect the impact of this accounting change. And the impact to recast 2011 results for the adoption of this new guidance was to reduce earnings for our International business by $16 million in the first quarter of 2011 and by $67 million for full year 2011. We would remind you that this accounting change has no impact on the fundamentals of the business. That is, there is no effect on future cash flows, our statutory capital position or the lifetime profitability of these policies. Also please note that when we discuss our full year 2012 outlook in a few moments, it will be on a basis, which excludes any future capital deployment and assumes break-even results for the remainder of the year for our Run-off Guaranteed Minimum Death Benefits business, known as VADBe. And one last item, please note that Cigna will be hosting our upcoming Investor Day on November 16 in New York City. And with that, I will turn it over to David.
David M. Cordani: Thanks, Ted, and good morning, everyone. Before Ralph reviews our results and outlook, I'll briefly comment on our first quarter performance then I'll discuss how our capabilities continue to deliver differentiated value for our customers and clients. And finally, I'll briefly highlight how we are positioned for continued long-term profitable growth. Turning to our results. We are pleased with our results for the first quarter. We exceeded our expectations in earnings and in medical customer growth, resulting in a stronger capital position at the end of the quarter. We also accelerated investments in our technology infrastructure, which we expect will start to yield efficiency gains in the second half of this year, in 2013 and beyond. We reported adjusted income from operations of $370 million or $1.28 per share, excluding the VADBe results; and consolidated operating revenues of $6.9 billion, an increase of 27% over the first quarter of 2011. Our results demonstrate the ongoing effective execution of our Go Deep, Go Global and Go Individual strategy. And each of our ongoing businesses, Health Care, International and Group made strong organic revenue and earnings contributions in the first quarter. For our U.S. Health Care business, our results demonstrate continued growth in our targeted customer segments. In addition, we added 2 months of attractive contributions from HealthSpring, which we closed on January 31, 2012. First quarter revenues increased approximately 32% relative to the first quarter of 2011. Our medical customer base grew by 1.2 million members. Nearly 800,000 of these members represent organic growth from our core commercial business. This was ahead of our previous outlook. The result was driven by strong sales and higher-than-planned client retention levels across all of our targeted customer segments. Approximately 300,000 of these customers were gained in International account segment, reinforcing the effectiveness of our strategy to reposition this business. We also experienced favorable prior claim development in the quarter. Utilization trends remained low through the end of 2011 and into 2012. I would note that while overall utilization growth is somewhat muted, we continue to drive higher use of prevention and wellness service in our portfolio. Our ASO clients benefit directly from these lower medical costs. Today, 85% of our commercial customers are in these arrangements, which enable Cigna clients to choose from our comprehensive suite of programs while having full transparency and control of the costs. In our International business, we delivered top line growth of 24%, driven by robust premium and fee growth in our Health, Life and Accident business as well as our Global Health Benefit business. With infrastructure in 30 countries and jurisdictions, in-country sales expertise and in-depth customer understanding, our global footprint continues to provide a powerful advantage in our ability to design, develop and sell locally differentiated products and services. In our Group Disability and Life business, our revenue growth of 8% was in line with our expectations and we continue to see good client interest in our programs that focus on productivity. Now let me take a moment to discuss the future business environment. We believe that businesses today must be able to adapt to continued economic, social and political changes at an accelerated pace. Health systems around the world are demanding health and wellness solutions that address improvements in quality and costs. At Cigna, we are constructively engaging with lawmakers, regulators, business and other thought leaders in our global markets to create effective health and benefit systems for the future. Here in the U.S., attention is being focused on the Supreme Court's evaluation of the Affordable Care Act. Regardless of that outcome, there are 3 indisputable certainties that Cigna is taking into account in our strategies and our actions: first, the cost of health care is unsustainable. In an environment where almost 75% of costs can be influenced by lifestyle and behavioral choice, demand for innovative solutions is increasing. Second, individuals will assume increasing responsibility for their own health and well-being decisions. Actionable information and resources to enable them to make choices based on what they value is critical to improve health outcomes and lower costs. And third, aging populations require new models for sustainable social programs. By 2030, the number of people in the world over the age of 50 will be greater than those under the age of 17 for the first time in history. This means we will have more people requiring health benefits for a longer period of time and fewer workers in the system paying for it. At Cigna, we are helping our clients and customers address these trends with our health, wellness and productivity programs that focus on engagement and incentives to yield better value. With this environment as a backdrop, several elements of our growth strategy and business capabilities position us to continue to deliver value for our customers and clients, and our approach starts with our focus on our customer. We have been at the forefront of the market shift to a more retail, customer-focused approach to health care. We are reengineering our business around the individual. Our goal is to deliver a simple, easy and helpful customer experience for everyone every time, and we will continuously work to improve to meet the emerging needs and customer trends. From a service standpoint, we were the first and remained the only global health service company with 24/7, 365 live phone service. And we're becoming even more accessible through channels such as Facebook, Twitter and YouTube. Our website has recently earned recognition as a resource that helps customers evaluate the quality of health care professionals, provides tools to calculate the cost of care and offers advisory capabilities to make more informed decisions. Last month, we launched a new tool that provides real-time pricing for more than 200 common medical procedures, which represent 80% of our medical claims. Our customer focus is delivering results. For example, in the U.S., our consumer-directed health plans grew by 35% in 2011, more than double the industry average. In the first quarter, we have already grown enrollment in these plans by another 24%. Outside the U.S., sales of our direct-to-consumer Health, Life and Accident business continues to grow by more than 20% per year. Our successful expansion into the Internet and direct response TV distribution complements our leading telemarketing capabilities. Next, we add our consultative sales approach. Our approach helps us deliver differentiated value for our clients and customers. This, in turn, positions us to expand existing client relationships over time. We start by listening to our clients to understand the business strategy, their benefit goals and their corporate culture. Then we analyze their claims utilization, conduct health assessment and biometric screenings to get a more complete view of their employee population. We design health and wellness plans to align to a client's specific goals for health and productivity improvement. Then we drive high individual engagement, aided by incentive programs that reflect the unique needs of their employees. And we complement these programs with our physician engagement models. At Cigna, we've taken a leadership role in physician engagement, moving away from offering rewards for just the quantity of services performed to providing incentives for achieving better health outcomes for our customers. Our approach, which we call Collaborative Accountable Care, or CAC, provides physicians with: actionable information on their patients to improve health and close gaps in care; financial incentives for keeping patients healthy and delivering the highest quality of care; and assistance from care coordinators to help patients follow prescribed treatments and improve their overall health by participating in our coaching and lifestyle programs. Today, we have 22 of these CAC initiatives in place in 13 states. And by 2014, we expect to have 100. The addition of HealthSpring further builds on our ability to reshape the delivery of health care. HealthSpring has demonstrated that truly partnering with physicians, integrating services and driving innovation delivers market-leading results for customers. In fact, many of HealthSpring's programs are recognized as some of the most innovative in the marketplace, reflecting the type of coordinated care, clinical quality and physician engagement needed to address key aspects of sustainable health care reform. Combined, these elements of our strategy, customer focus, consultative sales approach and physician engagement allow us to offer our customers and clients the differentiated value proposition. We leverage these capabilities to deliver competitively attractive growth for our shareholders. This growth is driven by our U.S. commercial business, our International business and now, our Medicare business. In our U.S. Commercial business, we are seeing increased demand for health and productivity programs. As a proof point, we expect to add approximately 800,000 new medical customers in 2012 in our Commercial business. Second, in our International business, we continue to expect high demand for health solutions to serve the globally mobile individuals and the growing middle-class and emerging markets. We are continuously evaluating opportunities to expand our international distribution capabilities and product portfolio, as well as invest in new markets where there is a attractive growth potential. For example, in 2011, we deepened our geographic footprint further in China by securing our 10th license. We now have the ability to reach more than 500 million people. This represents 40% of the population and over 65% of the GDP in the country. Third is our Medicare business. We plan to expand HealthSpring's offerings beyond the current markets to leverage Cigna's broader U.S. footprint including our employer-based and our established relationships with physicians and hospitals. Our integration with HealthSpring is well on track. We have effectively engaged our customers, employees and physician partners, resulting in continued business momentum. We are also aggressively working on our strategic growth priorities to extend the value of HealthSpring's position engagement model by developing new commercial offerings and to leverage Cigna's footprint to extend HealthSpring's seniors capabilities into new markets. I attribute this early success to our common vision and true philosophy of strong physician partnership that focuses on delivering the highest clinical quality for our customers. When you take these growth drivers together, plus our ongoing effective capital deployment, we continue to expect to deliver 10% to 13% annual EPS growth over the next 3 to 5 years. Now before I turn it over to Ralph, let me highlight just a few key points. Our first quarter results exceeded our expectations in earnings and medical customer growth, resulting in a strong capital position at the end of the quarter. We also accelerated investments in our technology infrastructure, which we expect will start to yield efficiency gains in the second half of this year, then in 2013 and beyond. Our integration of HealthSpring is progressing well. And based on the strength of our first quarter results, we are increasing our full year outlook for earnings and customer growth. Our results reflect the dedication of more than 30,000 Cigna colleagues who are working everyday to improve the health, well-being and sense and security of the individuals we serve around the world. And lastly, I would highlight that our strategy is built to thrive on and seize on the opportunities created by today's dynamic business environment. With that, I'll turn the call over to Ralph.
Ralph J. Nicoletti: Thanks, David. Good morning, everyone. In my remarks today, I will review Cigna's first quarter 2012 results and provide an update to our full year outlook. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is also the basis on which I'll provide our earnings outlook. Before I get into the specifics of the quarter, I wanted to highlight that the quarter reflects strong fundamental execution of our strategy, earnings and customer growth ahead of our expectation, continued strategic investments to support growth and ongoing efficiency gains as well as strong contributions from HealthSpring. These results provide me confidence to increase our full year earnings outlook. Now moving to the results. Our first quarter 2012 consolidated operating revenues grew 27% to $6.9 billion, driven by growth in our targeted markets and the impact of the HealthSpring acquisition. First quarter consolidated earnings were $370 million or $1.28 per share, excluding the after-tax loss of $0.04 per share from the results of the Run-off VADBe business. Turning to the segments. In Health Care, first quarter 2012 premiums and fees grew 36% to $4.5 billion, reflecting strong business growth and 2 months of HealthSpring revenues. First quarter earnings for the Health Care were $262 million and reflect growth in our commercial business, contributions from HealthSpring and the impact of favorable prior year claim development. In addition, the quarter's results include strategic spending to support our business growth and service capabilities, as well as targeted investments that will deliver operating expense efficiencies beginning in the second half of this year. Specific to our spending-to-deliver operating efficiencies, these costs impacted the quarter's results by approximately $30 million pretax or $0.07 per share. We ended the first quarter 2012 with approximately 12.7 million medical customers, representing growth of almost 1.2 million customers. The increase is comprised of organic growth of 800,000 commercial customers, which are essentially all ASO, and roughly 400,000 HealthSpring customers, reflecting continued growth of the Medicare book of business. As David noted, our customer growth is aligned with our Go Deep strategy with strong results in our national account, middle market and select segments where we offer clients differentiated funding alternatives and product solutions to our consultative approach and focus on incentive alignment. Now turning to medical costs. In the quarter, we continued to deliver favorable medical costs and sustained clinical quality for our clients and customers. I would remind you that 85% of our commercial customers are in ASO funding arrangement where they directly benefit from these medical trend results, and we continue to see a growing proportion of our commercial customers in service-based relationships. Across our commercial and Medicare risk books of business, our first quarter earnings include favorable prior year claim development of $38 million after tax and net of rebate accrual, compared to $22 million after tax in the first quarter of 2011. Specific to commercial guaranteed costs, our first quarter 2012 medical care ratio, or MCR, was 76.2% on a reported basis. Excluding prior year claim development, the commercial guaranteed cost MCR for the first quarter was 79.6%. Our first quarter 2012 MCR for Medicare Advantage was 81.1% on a reported basis or 82.8% excluding prior year claim development. Overall, we are pleased with the results in our medical risk businesses as they continue to reflect good pricing and underwriting discipline, as well as sustained clinical quality for our clients and customers. For the first quarter 2012, total operating expense ratio is 24.3%, which is a 280 basis point reduction over the first quarter of 2011 expense ratio and primarily reflects the change in business mix associated with the HealthSpring acquisition. Now I will discuss the results of our International business. International continues to deliver attractive growth and profitability. The results reflect targeted new sales, strong retention and further product penetration to existing customers. Premiums and fees grew 24% quarter-over-quarter, driven by strong customer retention and growth within our Health, Life and Accident business and increased risk membership in our Global Health Benefits business. First quarter earnings in our International business were $80 million, representing continued high-single digit margins in line with our long-term growth expectations for this business. I would note that our first quarter 2012 results included the onetime benefit of $8 million after tax, related to the implementation of a capital management strategy. In our Group, Disability and Life segment, premiums and fees increased 8% over the first quarter 2011. First quarter earnings in the Group business were $65 million. We continue to deliver value for our clients and customers through our market-leading disability and productivity management programs. Results for our remaining operations, including Run-off Reinsurance, Other Operations and Corporate totaled to an after-tax loss of $48 million for the first quarter of 2012. These results include a reserve strengthening of $11 million after-tax, related to our Run-off VADBe book of business. The reserve strengthening is the result of our continuing review of assumptions and primarily relates to the impacts of expected changes to our long-term lapse assumption on a segment of the business. Our capital position in Arbor, the legal entity dedicated to the Run-off Reinsurance businesses, continued to be strong and consistent with year end. As a result, the reserve strengthening has no impact on our outlook for cash available for deployment. Overall, our first quarter results reflect solid revenue and earnings contributions from each of our ongoing businesses, which continue to generate significant free cash flow. Turning to our investment portfolio. We are pleased with our results in the first quarter. We recognized net realized investment gains of $12 million after tax, coupled with a strong net investment income result. And our commercial mortgage loan portfolio is performing well in a challenging economic environment. Overall, we continue to be pleased with the quality and diversification of our investment portfolio. Our strong investment management capabilities and disciplined approach to risk management continue to deliver solid results. Now turning to our outlook. Based on the strength of our first quarter results, we are confident in our ability to achieve our increased full year outlook. We now expect consolidated adjusted income from operation in the range of $1.52 billion to $1.63 billion and consolidated EPS of $5.20 to $5.55 per share, reflecting continued strong underlying results in each of our ongoing businesses. This is an increased outlook -- this increased outlook represents an increase of $0.15 to $0.20 per share over our previous expectations. I would remind you that consistent with prior practices, our outlook excludes any contribution from additional prior year reserve development or capital deployment. I will now discuss the components of our 2012 outlook, starting with Health Care. We now expect full year Health Care earnings in the range of $1.19 billion to $1.26 billion, which is an improvement of $70 million from our previous expectations. This increased outlook for Health Care reflects 3 items: the impact of higher-than-expected full year customer growth, the first quarter favorable prior year claim development and a reduction in amortization expense related to the HealthSpring acquisition. I do want to highlight that our quarterly earnings patterns will be different than prior years as we expect earnings for 2012 will be more heavily weighted to the back end of the year than our historical pattern as a result of a few things: the seasonal earnings patterns of our expanded Medicare PDP book of business; operating expense efficiencies expected in the second half of the year, resulting from investments we are making in the first half, which I alluded to earlier; additional expected specialty earnings contributions from our ASO block of business; and reporting only 2 months of HealthSpring contributions in the first quarter. Relative to medical customers, we now expect full year 2012 growth of approximately 1.2 million people, of which 800,000 is in our commercial book of business and is 300,000 higher than our prior expectations. This year's growth is essentially all in our highly transparent ASO funding arrangements and across all of our targeted market segments including national account, middle market and select size employers. We have delivered additional growth in sales to larger clients. As you know, new sales to these clients tend to have less product penetration initially. We expect to provide additional value to our larger clients by expanding our suite of solutions over time, which will drive increased revenue and earnings for these relationships. Overall, we are pleased that employees of various sizes are attractive to our consultative approach and differentiated value proposition. Turning to medical costs. Our outlook continues to assume a modest increase in medical services utilization during 2012. For our total commercial book of business, we continue to expect full year medical cost trend to be in 6% to 7% range. These expected medical costs have been reflected in our pricing for 2012. We now expect the full year MCR to be in the range of 80% to 81% for our commercial guaranteed cost book of business, which is 100 basis points lower than our previous expectations, the majority of which is driven by favorable medical trend development. Our expectation relative to Medicare Advantage MCR for the full year continues to be in the range of 81.5% to 82.5%. Our operating expense ratio for the full year is expected to be in the range of 22.5% to 23.5%, which is consistent with our prior expectation and reflects the benefit of operating expense efficiencies in the second half of 2012. Now moving to the other components of our outlook. For our International business, we expect continued strong top line growth and continue to expect earnings in the range of $265 million to $285 million, which represents earnings growth of 19% to 28% versus the full year 2011. Regarding the Group Disability and Life business, we continue to expect full year 2012 earnings in the range of $260 million and $280 million. Regarding our remaining operations, including Run-off Reinsurance, Other Operations and Corporate, our outlook is now an expected loss of $195 million for 2012, reflecting the first quarter Run-off VADBe reserve strengthening. This outlook assumes break-even results for the remainder of 2012 for VADBe. So all in, for full year 2012, we now expect consolidated adjusted income from operations of $1.52 billion to $1.63 billion and consolidated EPS in the range of $5.20 to $5.55 per share. I would now discuss our updated capital management position and outlook. Overall, we continue to have good financial flexibility as our subsidiaries remain well capitalized and are generating significant free cash flow to the parent, reflecting a strong return on capital in each of our ongoing businesses. We ended the quarter with parent company cash of approximately $520 million. For the full year 2012, after considering expected sources and uses, we now expect to have approximately $1 billion in parent company cash by the end of 2012, with approximately $550 million available for capital deployment. This represents $100 million increase compared to our previous capital outlook, primarily reflecting the increase in our earnings outlook. Overall, our capital position and updated outlook remains strong, and our capital deployment strategy and priorities remain unchanged. And now to recap. Our first quarter 2012 consolidated results reflect the strength of our global differentiated portfolio of businesses and effective execution of our focused strategy with solid growth in our targeted customer segments. Our first quarter results were better than our expectations, reflecting good progress on the integration of HealthSpring and strong organic revenue and customer growth, which are expected to deliver $0.15 to $0.20 higher earnings per share, and additional $100 million in capital available for deployment and targeted strategic investments to provide sustainable growth in revenues, earnings and EPS into the future. Based on the strength of our results, we are confident in our ability to achieve our increased full year 2012 earnings outlook. With that, we will turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: Could you talk a little bit more about what you're seeing on the utilization and cost trend side? Did it come in below your expectations in terms of utilization trends in the first quarter? Was it up modestly from last year or you're just expecting that going forward? And any differentiation you can make between commercial and Medicare would be interesting.
David M. Cordani: It's David. I'll start and I'll ask Ralph to expand and explicitly also deal if there's any difference between commercial and Medicare. First off, as indicated with our favorable prior year development, results continue to develop favorable to our expectations. Secondly, from my prepared remarks, we noted that we did not see a meaningful uptick in utilization in the first quarter. I would note that our expectations coming into the year, we plan for an increase in utilization, but for it to ramp throughout the course of the year. So we weren't projecting a large step function in the first quarter and the point is we did not see that. So overall, results continue to be somewhat muted from utilization acceleration. Final note before I turn it over to Ralph is also as I noted in our prepared comments, for our book of business, specifically, we continue to see targeted increases in certain prevention, wellness, diagnostic procedures as well as even higher medication compliance around evidenced-based care for people in chronic programs, which is more of the right utilization happening, which benefits our clients and customers. Ralph?
Ralph J. Nicoletti: Thanks, David. Matt, I guess the only thing I'd really add to David's point is on the Medicare side, essentially, the trends are the same, so we haven't really seen a difference on the Medicare side of the business as well.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: And just one follow-up. On the commercial pricing side, I note -- as you noted, nearly all of your gain you expect is coming from the ASO segment. How are you seeing the risk pricing environment develop at this point relative to, I think, the fairly competitive environment that you saw last year or at the later part of last year that caused you to step away from that market?
David M. Cordani: Matthew, again, David. Just from a macro standpoint, your recollection is correct. As you'll see in our results, we didn't post growth in the risk portfolio. As we look to the -- our outlook, at least into 2012, we're expecting to -- planning to see some additional pressure there, so maybe a little dampening in the volumes offset by the continued success in ASO. So with the competitive landscape out there, we're not saying uniquely competitive, but a competitive landscape. And we're picking our spots and maintaining our pricing and underwriting discipline, which is showing through in our MCR and showing through in our medical cost trends and is showing through in our continued ASO growth.
Operator: Our next question comes from Charles Andrew Boorady with Crédit Suisse.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: The acquisition of HealthSpring looks especially timely in light of where the commercial business is headed and how well Medicare Advantage continues to do. But that said, you seem to be doing really well holding your own in the commercial side despite some of the noise we heard last year on pricing, so congrats on that. What I want to ask about HealthSpring is they, as a company, have been sort of best in class at the vertical integration, how they handle that and how they're able to achieve a high star rating notwithstanding the government moving the goalposts on them last year a little bit. But with the RADV rules now defined, what have you been able to do to sort of assess how the new RADV definition would impact the business, either positively or negatively? And have you accrued anything for RADV in the quarter?
David M. Cordani: Charles, it's David. Appreciate your comments. And just one item relative to the commercial side before I get to HealthSpring. We continue to be pleased that the marketplace -- buyers in a variety of segments continue to increasingly look for what we call health improvement engagement and incentive-based programs, which are not all consumer directed. It's how do you get more engagement with the individuals within an employer space, how you do align the incentives and then how do you bridge that across to the physician line, which carries across to HealthSpring. Broadly speaking, as you noted, I mean HealthSpring has been innovating for a little over a decade and the innovation is heavily around integrating with physicians, aligning incentives, using information and then integrating care coordination, et cetera. And the objective there is to get the highest possible evidence-based care compliance. So when you pierce through it all with the star ratings, RADV audits, et cetera, the macro objective is to get to the highest level of engagement with the physician and individual and highest level of evidence-based care compliance. You can look at the national averages. For example, within MA, you'll see national averages in the high 30% to 40% range in terms of compliances with evidence-based care. And you'll see in the most mature HealthSpring markets percentages approaching the high 80s, so about twice the national average. So to your concluding point, we expect that, that will continue to perform well through the evolving star system as well as the RADV environment.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Can you scale that across to your commercial lives? And how much of that is technology-based that can be rolled out versus just know-how in the marketplace that might take longer to transfer those skill sets to other markets?
David M. Cordani: Yes, appreciate that very much in terms of your framing of it. First and foremost, a part of our acquisition strategy here was to believe that we can indeed leverage -- you used the term scale. I'll use leverage, leverage the capabilities. I would suggest to you, Charles, it starts -- before we get to technology and otherwise, it starts with kind of an attitudinal orientation. The HealthSpring team, philosophically and fundamentally, believes that by partnering with physicians, putting the customer front and center and using information on a targeted basis, you could yield a better result. And it's an environment of continuous improvement. They've been able to demonstrate that in a variety of markets, so it's just not in a single market like certain other models might be. It's not solely in the most developed integrated care systems like in Southern California. They've been successful in a variety of markets and have been functioning in 15 to 20 -- or 12 to 15 major cities. I would compare that across, Charles, to our experience in 2009 in collaborative accountable care where we've been able to see traction for commercial customers. So a long way of answering your question, yes, we believe we could scale it because we've seen success improvement in our commercial business. It's not an overnight. It's market-by-market and it's collaboration with the targeted physician groups, but they've been able to successfully expand that to a variety of geographies, and we're excited because the marketplace is evolving in that direction.
Operator: Our next question comes from Josh Raskin with Barclays Capital.
Joshua R. Raskin - Barclays Capital, Research Division: Just before my real question, just one quick question. The $8 million capital management change in International, what does that mean?
Ralph J. Nicoletti: Sure. We took some steps to increase our flexibility in cash management outside the U.S. and then that will also enable us to lower our effective tax rates over time. So there was a one -- in the process of doing that, there was a onetime favorable benefit of $8 million after tax.
Joshua R. Raskin - Barclays Capital, Research Division: So clearly onetime, can't expect that?
Ralph J. Nicoletti: Yes, over time we'll get the benefit of the cash flexibility and deployment as well as the lower tax rates. But in terms of -- as you think about it from a modeling standpoint, it would be onetime.
Joshua R. Raskin - Barclays Capital, Research Division: Okay, that's perfect. And then I guess my real question's just around -- as you guys are preparing in month or so before the 2013 MA bids are going to be submitted, so I'm just curious how are you guys are managing that process? I think it's probably a little bit new to the Cigna organization. Obviously, HealthSpring has been doing this for a long, long time. And then as you think about your goals and your targets for 2013, would you say margin maintenance is most important, or do you think continuing to grow those members and on sort of a longer time value of the member is more important?
David M. Cordani: Josh, it's David. So first and foremost, you're correct. At the scale that it's at, it's new to Cigna. Cigna only historically operated MA in Arizona. I would note that we've operated a pretty meaningful PDP book and we put the 2 companies together, the PDP book doubles. More specifically to how we're running it, the HealthSpring business unit is the HealthSpring business unit and the leadership is broadly intact and that leadership continues to now run the HealthSpring business unit as well as the legacy Cigna Medicare Advantage business. So we actually view it positive that there's continuity as well as the ability to leverage that expertise with the legacy Cigna Medicare book of business. As it relates to philosophy, you could look back at the HealthSpring philosophy. They have a very disciplined approach the marketplace, trying to create value, value for the customers in terms of the benefit design and partnership with the physician, good financial discipline and the commitment to maintain financial discipline and integrity. So they've not generated, over time, wild swings in their membership base. More, they've generated disciplined growth and disciplined earnings growth that go along with it, and you should expect that to continue from us. On a final note, I appreciate your point. We do look at the long-term value of relationships. And as we're able to expand the portfolio of services, there's additional programs and services we could offer, but that's an add-on. So no change in philosophy, continuing the HealthSpring philosophy of sustained profitable growth by delivering good value. And we'll leverage their expertise for the legacy Cigna book.
Joshua R. Raskin - Barclays Capital, Research Division: And I guess just the last point on that, HealthSpring had run MLRs that were very impressive. We talked about their care coordination and I think the reasons for that are pretty clear. As you think about minimum MLRs in '14 and I believe Herb and his team had spoken about that in the past, would you expect just some natural margin compression just due to the minimum MLRs that you get there, or is that a 2014 event for you?
David M. Cordani: Broadly thinking of it in the out years, number one. Secondly, as you know, as the MLRs are reconciled, there's a variety of services that are provided both by the physician as well as the health service or health insurance company. That all has to get washed through. But to your point, they've run very strong MLRs. We expect it will continue to run very strong MLRs. Some of the costs of doing that care coordination service and complementary services will go through some adjustment to the MLRs, and we expect to see some stepping as the rates get finalized as you look out to 2014.
Operator: Our next question comes from Doug Simpson with Morgan Stanley.
Douglas Simpson - Morgan Stanley, Research Division: Maybe if you could just touch a little bit on what you're hearing from large customers on the commercial side, just in terms of their view of benefits, their commitment to health insurance. And has that conversation changed in anyway? As we're getting closer 2014, how do you think the uncertainty around SCOTUS is potentially affecting their thought process there just as they're thinking about the benefits and maybe perhaps moving more to defined contribution model over time?
David M. Cordani: Doug, it's David. So a variety of moving parts, but in the macro picture. So to your macro point, how are employers thinking about their benefit strategies currently. Scene one I would give you is that just the increasing intensity and drumbeat over the last 2 years around employers, large, medium and increasingly small but you want the large employers, around incentive-based health improvement, engaging individuals. So if you move across that continuum, you ended on defined benefit, which I'll come to in a minute or defined contribution. You see employers moving along to get the incentives a bit more aligned with their employees. Secondly, employers are obviously watching what transpires in the regulatory landscape and know that if the rules are currently derived in 2014, there'll be in a marketplace out there, state and federal base exchanges, for small employers. Third, we do not see, we do not see a large drumbeat or momentum for employers to prepare to aggressively shift over to the exchanges. And a final note, we do see some employers beginning to explore how they might move to the next generation of incentive alignment, which is a bit more of a defined contribution model. Back to Cigna, what we like around that is as we're working around orienting our business model around the individual, consumer engagement and physician engagement, we believe those 2 consumer engagement and physician engagement models are going to be mission-critical whether they're in the current model, whether you're into more of a defined contribution model or evolving on to the fringe of the exchanges.
Douglas Simpson - Morgan Stanley, Research Division: Okay, great, that's helpful. And I'm not sure how to tie this into that question, but I'll just ask on VADBe. Just I apologize if you mentioned it earlier, I missed part of the call. But any new or different on VADBe and what should we be watching for there in terms of your efforts to potentially do something strategic there?
Ralph J. Nicoletti: Doug, it's Ralph. Importantly, we continue to look at options to further reduce or eliminate the liability and we're very active in that area. And the structure that we did put in place regarding the separate legal entity that we well capitalized, coupled with enhancing some of our hedging strategies, is proving to be effective, so you'll continue to see us work at that.
Operator: Our next question comes from Ana Gupte with Sanford Bernstein.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Just following up on the last question, David, and your commentary on the select market, I guess, instead of small group market. You talked about the group market. You talked about defined benefit, the defined contribution. Can you comment on what's going on, on the fully insured to self-insured mix shift and how much that's contributing to your growth? And to what extent you think that'll impact the competitive environment in the fully insured market and the stop loss attachments? And then the recent regulatory pushback from the insurance commissioners on using these stop loss attached products and self-insured? And where do you think that might go?
David M. Cordani: Ana, you're correct. We run a part of our business called the select segment, to ground everybody. That is employers, broadly speaking, between 50 and 250 employees. By way of backdrop, a couple of questions you have in there. Last couple of years, think about our new business sales in there vacillating around 50/50 between guaranteed cost and ASO stop loss, ticked above 50%. But again, right around 50/50. I'll come to your regulatory question in a moment. What we find quite interesting in this segment is that when you bring that product to market, what you offer in that line segment is a new product and service that has higher level of transparency, more choice and benefit design and configuration, and very importantly, the ability to align the incentives with the employer, the individual and the health service company. The result we see is in the select segment for employers that have ASO and stop-loss. You see higher preventive services, higher wellness services, better overall costs, better overall productivity. To the specifics of your comment around the regulatory landscape, we're obviously very engaged in the regulatory landscape. We understand that there's dialogue amongst insurance commissioners around the configuration of stop-loss programs. Broadly to date, that conversation is focused on the 2 to 50 life employer segment. As you recall, that's a relatively small portion of our overall portfolio. We're still actively engaged with insurance commissioners, both at the national level and the local level, because we want to make sure that they understand all the facts in terms of how the programs work, and again, the benefits to employees and individuals of getting that transparency choice and incentive alignment.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Got it. And are the blues, I believe the blues in California are beginning to offer some of these stop-loss products. You think that might change the competitive landscape at all and is that likely to drive price competition in fully insured and in the stop-loss market with and without -- outside of health care.
David M. Cordani: Ana, as we started growing this segment of our portfolio meaningfully post the Great-West acquisition and the successful integration, we signaled them and we said we expect to see increasing competitive movement around these lines of business because this segment, historically, had only been a guaranteed cost or risk block of business. So we anticipated that. And you could see activities, you could see product filings, et cetera. And in a way, Ana, there's a positive byproduct of that because it creates more visibility to a unique product in the marketplace, and over the short term, creates more of a buzz and more demand. Over the intermediate to long term, like any other offering, it comes down to differentiation and innovation on our part. And we have a good head start on that product portfolio and intend to keep our lead in that product portfolio as the market changes.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Just one final question on these -- the HIPAA 5010. Is that part of your prior period? And did you see any acceleration in claims in the fourth quarter? A couple of your competitors are reporting negative development here.
David M. Cordani: Ana, could you repeat? We didn't hear the first portion of your question. Can we ask you to repeat that? I'm sorry.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Yes, the HIPAA 5010, both Health Net and Humana had some negative development. I'm just curious whether that is part of your favorable PDP and do you see that despite this headwind?
David M. Cordani: Yes, broadly speaking, whether it's 5010 or other activities, as you know, there's a lot of regulatory compliance activity underway as a result of the new laws and regulations. We've got programs in place. We've made good progress. There's a lot of moving parts. The key to managing that is having good communication, good connectivity and good visibility with your trading partners. We've been able to secure that. And as such, have been able to kind of mute any unique impact tied to 5010 thus far. I would say our prior year development, specific to your point, that speaks to fundamentals, which have us continued positive fundamental improvement in the overall medical cost environment for the benefit of our clients and customers.
Operator: Our next question comes from Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC, Research Division: On the ASO fees, it looks like the PMPM came down about 5%, but I have to kind of break out $9 million of health source ASO fees, so I'm not sure if I did math right. If the PMPM did come down, could you tell us why that would be? And then I understand you have 60,000 duals with HealthSpring. Can you confirm that? And how are you thinking about potential vulnerability with respect to those members excluding the opportunity, of course, to gain members?
David M. Cordani: Christine, very efficient question. You worked in a lot of components. It's David. First, relative to the fees, as you'll note, we have meaningful growth in the first quarter and we're very pleased with that, essentially all ASO growth. I'll point to a couple of things: one is the growth this year is toward the higher average case size. So when you look at our book of business, the higher the average case size, the lower the fees per life the nature of economics in the book of business. That's point one. The fees we're able to secure on the case we added are in line with our historical averages. Second piece, which is why you will see a little bit of a different pattern is very important for you to know, we do not have a full quarter's run rate of revenue in the first quarter. Why that is, a variety of points but the most important point is we added ASO life throughout the entire quarter. So we added January 1 business, February 1 business, March 1 business. So while you see the net membership, you're converting it back to a revenue base that's a little understated and the second quarter will get you more close to a run rate revenue base. As it relates to duals, your number is approximately correct. And as it relates to approach, strategically, we're approaching the dual population. As we indicated earlier, Cigna, that we believe that if we secured a leading set of clinical seniors capabilities that in our targeted geographies, we could pursue Medicaid, ABD, Medicaid -- Medicare dual population, et cetera. So we see that as an opportunity going forward and we'll pursue that on a state-by-state basis tied to our Go Deep strategy. We'll leverage the organic capabilities that HealthSpring has, both their leading Medicare capabilities as well as their Medicaid capabilities. And finally, Christine, in targeted geographies, we will evaluate partnership opportunities where you can bring best-in-class Medicare and clinical capabilities that HealthSpring brings with -- if appropriate, from a targeted standpoint, a leading Medicaid player.
Christine Arnold - Cowen and Company, LLC, Research Division: Okay, that's helpful. And are there regions where you view the 60,000 duals you have as vulnerable? Like what portion of that do you think, if you don't get a partner, you're at risk of losing over the next, say, 2 years, 18 months?
David M. Cordani: Christine, I wouldn't flag any unique geography or dynamic. The HealthSpring business model is deployed in beyond, but arguably think about 15 major markets and there's duals in a variety of those markets and a lot of active engagement with regulators and the legislative leaders locally as well as nationally. Very importantly, to put the beneficiary front and center, and these are beneficiaries who are getting a very positive service experience today that have continuity with their physicians. So I wouldn't highlight any geography or immediacy of threat there currently.
Operator: Our next question comes from Kevin Fischbeck with Bank of America.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Couple of questions on HealthSpring here. You mentioned that there was a benefit from a change in the amortization assumption. How much was that?
Ralph J. Nicoletti: Kevin, it's Ralph. It's about $16 million after-tax for the full year, yes, for the full year. And so you could prorate that for the 2 months in the first quarter.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. And that's, I guess, the same thought process though about future changes in amortization kind of down 10% to 15% from this level into next year? Offset by the fact they have more months.
Ralph J. Nicoletti: Yes. That's right. You can think of this as essentially the guidance we gave you last time was a preliminary estimate. Now it's been refined and finalized and the shape of the amortization curve over time, you would expect to see still in the 10% to 15% on the lower end of that going into next year because we're going to pick up 12 months of HealthSpring as opposed to the shorter period this year, but that's the right way to look at it.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. That number is kind of more in line with what we were initially thinking. So just another question and you kind of addressed this a little bit in regards to Josh's earlier question. I just wanted to flesh out a little bit more. You mentioned a couple of times that you're excited about expanding HealthSpring's offerings beyond its existing footprint. And with the 2013 rates out, is that a 2013 opportunity or do you feel like that is still -- 2013's still about integration and it's more 2014 that you're really going to be able to see the expanding of the footprint?
David M. Cordani: Kevin, it's David. Think about it through 2 dimensions and maybe let me restate the base. Job one is to make sure that the fundamentals of the business and the inherent momentum in the business remains and stays strong, so there's good, strong fundamental growth and early progress there. So now, you do the add-on. The add-on's twofold. One is in targeted geographies, leveraging the HealthSpring's unique physician relationships and engagement relationships for new commercial solutions in existing HealthSpring markets. Secondly is the HealthSpring model for Medicare Advantage in new geographies. Think about the opportunity to get some movement in the first category, the commercial category in '13. Think about the Medicare Advantage because of the contractual cycle, et cetera being more of a '14 environment, and obviously, both of them carrying on a go-forward basis.
Operator: Our next question comes from David Styblo with Jefferies.
David A. Styblo - Jefferies & Company, Inc., Research Division: I'm in for Windley right now. I had 2 for you. The first one was on the spending in the Health Care segment that you guys had flagged of being about $30 million. Could you elaborate more on if that spending is done or is that going to carry over into other quarters? And then how should we think about the benefit in the back half of this year as well as for '13? The second question is on your International outlook. You had a benefit, I think, it was $8 million in the first quarter, but that didn't seem to flow through into the guidance. Has that stayed the same? Can you tell me about the dynamics, if something is offsetting that or what's going on in that regard?
David M. Cordani: I'll start on the spending and I'll turn it over to Ralph, ask him to kind of shape it a little bit for you in terms of how to think about it for the year. And then I'll ask Ralph to give it back to me to talk about International because that's a different topic. But specifically relative to the spending, we had some planned targeted investments back in our technology infrastructure on a couple of discrete programs to garner efficiency gains on a go-forward basis. We expected the bulk of the spending in the first quarter, some of it continues clearly into the second quarter. And they're tied to 2 discrete programs where we'll be moving some technology platforms, one is around telephony and telecom network and data network. The second's around some support technology and infrastructure for staff-facing functions. They both tied to discrete vendors in contractual terms, which is why we're flagging the efficiency gains as we go into the second half of the year. I'll ask Ralph to give you a little bit more color to kind of shape how the patterns is going to unfold.
Ralph J. Nicoletti: Sure. Thanks, David. So we average -- the expense ratio in the quarter was 24.3 and it guided to the reduction on the full year. And there's a lot of moving parts here with the mix of revenues and within the businesses, but you should expect to see some of the step down in Q2. But as David mentioned, we are still spending against some of these cost efficiency opportunities into the second quarter. And then you'll see us in the back half step down further as the cost efficiencies take hold. So from the first quarter some reduction in the second quarter, a combination of slightly lower pace of spend as well as picking up 3 months at HealthSpring, which, just from a mix standpoint, brings the average down. And then the benefits in the back half of the year will shape how the OpEx ratio works.
David M. Cordani: David, on the International piece, you're correct and as Ralph identified, the capital deployment strategy, there's a onetime benefit. There's also a run rate benefit. To you macro point, first, the International business continues to perform extremely well. Very attractive top line growth, strong margins, good bottom line contribution. The program that was referenced in terms of the capital deployment strategies, part of our planned initiatives, so we planned for this. We've worked this. We've delivered it. And it's important to think about these as opportunities for future value creation because we created a more efficient environment. And for an asset that is growing at the rate this asset is growing at, it'll create some meaningful contributions looking forward. As it relates to the earnings outlook for the International segment, no change in our expectations other than we continue to believe that the assets are going to demonstrate 20% to 30% growth, which we're quite pleased with in this environment.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay. So on International, it's more of a function that was already reflected in your guidance. It wasn't something along the lines that this is a surprise then?
David M. Cordani: Absolutely. Very planned and deliberate activity in our part.
Operator: Our next question comes from Brian Wright with Monness, Crespi, Hardt.
Brian Wright: Did the guaranteed cost MCR in the quarter benefit any at all from the release of 2011 minimum MLR rebate accruals?
Ralph J. Nicoletti: No, the guaranteed cost in the quarter?
Brian Wright: Correct.
Ralph J. Nicoletti: No.
Brian Wright: No material or none at all?
Ralph J. Nicoletti: Nonmaterial really.
David M. Cordani: None at all actually.
Brian Wright: None at all, okay. And then, lastly, can you kind of size the magnitude of the second half versus first half kind of waiting on earnings that you would mention just to fine tune some modeling?
David M. Cordani: All right, let me just start, just at the macro level. If you think about the earnings drivers, so we'll try to give you some of the earnings drivers as you think about on a go-forward basis and Ralph highlighted some of this in his prepared remarks, but at a macro level. One, from a health care standpoint, the PDP business is a highly seasonal business. Our PDP book is now doubled with acquisition of HealthSpring. So the first thing I'd ask you to think about is we can't tell you how to model, but how you're thinking about that. Secondly, Ralph just walked through very clearly the operating expense ratio pattern, what's in the first quarter and how it's going to shape throughout the course of the year. Third is for ASO block of business, as we referenced in a prior question, we'll get some additional revenue leverage because the first quarter does not have a full quarter's contribution of the revenue, and we'll get some additional specialty contribution as we ramp throughout the course of the year. On a final note, there'll be a little bit of an offset to this as you think about your modeling. We flagged that we believe that there may be a little bit of pressure in the risk book of business as it relates to the volumes. And finally, there is some seasonality to that MLR. So those would be the 5 levers I'd ask you to think about: PDP pattern; the operating expenses that Ralph walked through the expense ratio very clearly; some ramping in the ASO contribution, driven by revenue leverage; as well as specialty contribution, offset somewhat by the volume of the risk business; and the seasonality in the risk business.
Brian Wright: Okay. I'm not exactly sure what -- we're talking magnitude, so it's still a little vague. But maybe we can talk off-line in a little bit.
Operator: Our final question comes from Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First question, just thought -- wanted to see if you can highlight a bit on your strategy for growth in the public sector part of the commercial marketplace. I know you had some wins there recently. Maybe, first, just talk about how much of the 800,000 adds in commercial are coming from the public sector market? And sort of how much more opportunity you have there? And what do you think is driving some of the growth in that market for you?
David M. Cordani: Scott, it's David. The public sector -- so we get a common definition, when I hear public sector and commercial, the way we think about it is states, cities, counties, other governmental agencies. So that's how I'm going to address the point. We lead and manage that business as a part of our middle market or regional segment. The reason why we do that, which is different than some of our competitors, we do that because we believe it's a highly localized and very locally intimate event. Over the last several years, we've had meaningful success in that space, specifically tied to 2 things: one, our Go Deep approach, so targeting specific geographies, not just states, but MSAs; and then secondly, identifying, call them public sector employers, who are looking for different solutions. They're looking for health engagement. They're looking for health improvement. They're looking for productivity programs. That doesn't mean they're buying a CDHP program. May or may not, but they're looking for a involved [ph] solutions. We see increased demand from that standpoint and increased focus and traction from our standpoint in that area. So we continue to be pleased that it's yielding results from our Go Deep approach and kind of our local intimacy, and buyers are revolving around the value proposition. Directionally, if we added 800,000 lives, think about 20%, 25% of that is in the range contributed by these diverse buyers. So don't just think states, think states, cities, counties and other derivatives of municipalities, and very importantly, in targeted geographies where we're seeking to grow the broader portfolio.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay, and then just had one follow-up. Just on maybe how we think about your thought process on the buyback program given that you improved the view on parent company deployable cash for the year?
Ralph J. Nicoletti: Sure, Scott. The overall capital deployment priorities haven't changed. The focus on, first, the core operating of the business. We look at M&A opportunities, particularly to expand whether the capabilities in geographies or in the seniors or the individual and retail side, so those are our priority areas and we continue to focus there. And then I think our track record shows over time, we'll deploy cash for those priorities as well as return to share owners -- return to shareholders through buyback as well. But it's a dynamic process and it's always based on the outlook that we have on the prospects of those priorities and where we need to deploy the funds.
Operator: I will now turn the call back over to Mr. David Cordani for closing remarks.
David M. Cordani: First off, thank you for your questions today and your continued interest in Cigna. I just want to emphasize a few key points from our discussion. Our first quarter results exceeded our expectations in earnings and in medical customer growth, resulting in a stronger capital position at the end of the quarter. We also accelerated investments in our technology infrastructure, which we expect to start to yield efficiency gains in the second half of this year and ongoing into 2013 and beyond. Our integration with HealthSpring is progressing well. And based on the strength of our first quarter results, we're increasing our full year outlook for earnings as well as customer growth. I'd also note that our business model is built to thrive in today's dynamic business environment. And finally, I'm confident in our ability to achieve our full year 2012 strategic, financial and operating goals. With that, we thank you again for joining today's call, and we look forward to our future discussions.
Operator: Ladies and gentlemen, this concludes Cigna's First Quarter 2012 Results Review. Cigna Investor Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 1 (866) 429-9465 or 1 (203) 369-0919. Thank you for participating. We will now disconnect.